Operator: Good afternoon and welcome to Ares Commercial Real Estate Corporation's Conference Call to discuss the company's Fourth Quarter and Full-Year 2021 Financial Results. As a reminder, this conference call is being recorded on February 15, 2022. I'll now turn the call over to Veronica Mayer from Investor Relations. Please go ahead.
Veronica Mayer: Good afternoon and thank you for joining us on today's conference call. I am joined today by our CEO, Bryan Donohoe; Tae-Sik Yoon, our CFO; and Carl Drake, our Head of Public Company, Investor Relations. In addition to our press release and the 10-Q that we filed with the SEC, we have posted an earnings presentation under the Investor Resources section of our website at www.arescre.com. Before we begin, I want to remind everyone that comments made during the course of this conference call and webcast and the accompanying documents contain forward-looking statements and are subject to risks and uncertainties. Many of these forward-looking statements can be identified by the use of words such as anticipates, believes, expects, intends, will, should, may and similar expressions. These forward-looking statements are based on management's current expectations of market conditions and management's judgment. These statements are not guarantees of future performance, condition or results and involve a number of risks and uncertainties. The company's actual results could differ materially from those expressed in the forward-looking statements as a result of a number of factors, including those listed in its SEC filings. Ares Commercial Real Estate Corporation assumes no obligation to update any such forward-looking statements. During this conference call, we will refer to certain non-GAAP financial measures. We use these as measures of operating performance and these measures should not be considered in isolation from or as a substitute for measures prepared in accordance with Generally Accepted Accounting Principles. These measures may not be comparable to like-titled measures used by other companies. Now, I would like to turn the call over to our CEO, Bryan Donohoe.
Bryan Donohoe: Thanks and good afternoon, everyone. Today we reported another strong quarter results, which included a record year for our company. In the fourth quarter, we reported distributable earnings of $0.41 per share, and $1.55 per share for the full-year up 14% compared to a year ago. We had another active quarter with $365 million of new loan commitments bringing our total to a record $1.4 billion for the full-year. Our originations drove portfolio growth of 33% to $2.4 billion, which supported our increased earnings for the year. Our credit quality continues to be relatively stable with a positive migration in our weighted average portfolio ratings, and we continue to actively manage our assets. To that end, we're pleased to announce that we've entered into an agreement to sell our one REO property, the Westchester Marriott, with an expected close at the end of the first quarter. As we look back at 2021, we're proud of many of our accomplishments. We've scaled our capital base accretively, further diversified our portfolio, and meaningfully strengthened our financial structure. We increased our access to non-recourse debt, and our equity base is now 44% larger than one year ago. We also generate distributable earnings well in excess of our dividends for the fifth year in a row, and we believe we are well-positioned for the year ahead. In addition, over the last year, the Ares real estate platform across the U.S. and Europe now stands at $41 billion of assets under management, including nearly $10 billion in real estate debt AUM. The scaling of our debt business has expanded our market coverage and access to transaction opportunities, which allowed us to increase our origination activity, while maintaining rigorous standards for credit quality. We welcomed new institutional sponsors to the ACRE platform, while remaining a trusted partner to our legacy sponsors who value our ability to customize solutions, our certainty of capital and speed of execution. In the fourth quarter, approximately 75% of our loan commitments were secured by multi-family and self-storage properties, both of which benefit from strong rental trends. The remaining 25% was in the industrial sector, which certainly has its own merits, and we are an active player in both debt and equity across the Ares platform. We continue to see robust activity in our target markets of the South and Mid-Atlantic, where we see strong demographic growth drivers. The returns on the new loans were consistent with our target levels commensurate with the risk profile of each asset class. The portfolio continues to be well-positioned for potential increases in interest rates with approximately 98% invested in floating rate loans. Our portfolio is largely comprised of what we believe are more stable property types, with our most recent originations focused on multi-family, industrial and self-storage assets. Further, and as I mentioned earlier, in November of 2021, we entered into a purchase and sale agreement at the Westchester Marriott. Since taking over the property in early 2019, we executed on our strategic plan, including improving operations and completing renovations. By reducing the expense load and focusing on the harvesting demand, we were able to successfully manage the property throughout the pandemic. Our ability to deliver on our strategic plan demonstrates the hospitality expertise and relationships of our team and throughout the Ares platform. While this is the only REO in our 10-year history, taking ownership of a property is one of the tools that we can use to protect our investment outcomes. Upon the sale of the property, we have elected to make a loan to the new owner, a highly regarded sponsor who is bringing substantial new equity capital that is subordinate to our loan. Looking ahead, we expect that 2022 will be another great year for our company and our shareholders. By leveraging the growth of the Ares real estate platform, our enhanced capital structure and diversified sources of liquidity, including the Ares warehouse, we expect to efficiently deploy our equity base to remain as fully invested as appropriate throughout the course of the year. With that, I'll turn the call over to Tae-Sik.
Tae-Sik Yoon: Great, thank you, Bryan, and good afternoon, everyone. Earlier today for the fourth quarter of 2021, we reported GAAP net income of $17.2 million or $0.36 per common share, and distributable earnings of $19.4 million for $0.41 per common share. For the fourth quarter of 2021, our earnings were bolstered through receipt of additional payments, as well as acceleration of deferred fees in connection with the repayment of a number of loans. We've expected that a few of these repayments would occur in the first quarter of 2022. But with the repayment occurring before year-end 2021, some of these fees and payments associated with these repayments were pulled forward into the fourth quarter of 2021. For full-year 2021, GAAP net income was $60.5 million or $1.42 per common share, and distributable earnings were $66 million, or $1.55 per common share. As a result, for the fifth consecutive year, ACRE fully covered its dividends per common share through distributable earnings per common share, both regular and supplemental. Our earnings this year benefited from strong momentum in originations. Our portfolio grew to record $2.4 billion in loans held for investments at year-end 2021 about a 33% increase versus $1.8 billion at year-end 2020. In addition, we continue to benefit from our LIBOR floors, which at year-end 2021 had a weighted average rate of 1.1%. During 2021, we continue to improve our financial structure by increasing our access to non-recourse debt, extending the maturities on certain facilities and reducing our overall cost of capital. We also refined our corporate borrowings by increasing the size and lowering the interest rate on our $150 million term loan. By utilizing the internal resources of our manager, we are able to execute this transaction directly, which resulted in significant cost savings to ACRE. Most significantly, we increased our common capital base by more than $200 million due to the two follow-on equity capital raises, both of which were done at premium to book value in the first half of 2021. As we indicated, we've been increasing our overall leverage ending 2021 with a debt-to-equity ratio of 2.7x excluding CECL reserve. At year-end 2021, our CECL reserve was at $25.2 million, a small increase versus the amount held at the end of the third quarter of 2021, due to the new origination activities in the fourth quarter of 2021. Our weighted average portfolio risk rating was 2.8, with 93% of the loan portfolio rated at 3 or better on a five-point scale. Additionally, no new loans were put on non-accrual and the total balance of the two loans that had been on non-accrual represent less than 2% of our overall total portfolio. We remain in active dialogue with these borrowers in order to bring these two loans to resolution. Now, let me spend some time discussing our portfolio positioning in the context of changing short-term interest rates. As of year-end, 98% of our portfolio as measured by unpaid principal balance was comprised of floating rate loans. Our assets are currently positioned to benefit from increases in benchmark indices. As of December 31st, 32% of our loans have a LIBOR floor below 25 basis points, and 43% had LIBOR floors below 50 basis points. At the same time, we hedged a significant portion of our floating rate liabilities, and fixed the interest rate on our $150 million term loan, so that increases in benchmark indices won't have a basis point by basis point increase in our overall liability funding costs. So for example, on a pro forma basis and using our fourth quarter 2021 portfolio and corresponding liabilities, we estimate that a hypothetical 50 basis point increase in benchmark indices would not have materially impacted our earnings. In comparison, without our interest rate hedges in place, on a pro forma basis this same 50 basis point hypothetical increase in short-term rates would have reduced our earnings. As you can see on our year-end 2021 balance sheet, our interest rate hedges had a fair value mark of about $3 million. And more recently, as of February 11, 2022, with short-term rates rising further since year-end, the fair value mark of our interest rate hedges were about $7.8 million, or about $0.16 per common share. Before I turn it back to Bryan for some closing remarks, we would like to provide some additional details on our dividends. This morning, we announced that first quarter 2022 regular dividend of $0.33 per common share, as well as a continuation of a supplemental dividend of $0.02 per common share. As a reminder, in 2021, we implemented a supplemental quarterly $0.02 per common share dividend, as a way of sharing a portion of the earnings benefit we are receiving from LIBOR floors. Although we expect to see a decline benefit from LIBOR floors in 2022, and the impact may vary quarter-to-quarter, at this point, it is a goal of the company to continue sharing a portion of the earnings benefit from LIBOR floors with shareholders through the $0.02 quarterly supplemental dividend. So with that, let me turn the call back over to Bryan for some closing remarks.
Bryan Donohoe: That's great. Thank you, Tae-Sik. As we look ahead to 2022, we have a positive outlook on our strength and position and the many levers we have to pull to continue generating strong returns for our shareholders. We expect to continue to source attractive investments, benefit from material increases in interest rates, and pursue opportunities to further enhance our balance sheet efficiency and funding costs. I want to thank our team for all of their hard work last year. As we continue to navigate the uncertainties and volatility surrounding the pandemic throughout the year, I am proud of how the entire team rallied together to generate a record year of earnings. With that, operator, will you please open the line for questions.
Operator: We will now begin the question-and-answer session. . Our first question today will come from Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. I'm hoping you could help size the kind of the extra payments that you received or extra income you received in the fourth quarter with the repayment of some of the loans?
Tae-Sik Yoon: Sure, good afternoon, Doug. Thanks for your question. Yes, as we mentioned, we've benefited significantly from repayment activity in the fourth quarter, some which were accompanied by either make-whole fees or acceleration of deferred fees, as I mentioned in our opening remarks. So I think to answer your question, total was about $0.05 of distributable earnings per share equivalent of about $0.05. So of the $0.41, about $0.05 was due to those repayments. And I think it's worth repeating, as I stated in the opening remarks that we did expect some of these loans to repay in the first quarter of 2022. So, in effect, some of that $0.05 was pulled forward from what we would have otherwise expected in the first quarter of 2022, into the fourth quarter of 2021.
Doug Harter: And I guess Tae-Sik just to help frame that, I mean, I imagine you get some of those fees on a regular basis, obviously, not as predictable, but I guess how would you size kind of over a year, or maybe to put that in context maybe what did you receive kind of over 2021, just to kind of help size the magnitude of that $0.05?
Tae-Sik Yoon: Sure, good question. I think 2020 obviously, was a bit of an anomaly because we had significantly lower repayments in 2020 for obvious reasons. 2021 started to return to a little bit of normal, right, but you can see many of the repayments happened really in the fourth quarter. I would say, again, this is going to vary quite a bit, as you can tell quarter-to-quarter. But I think particularly when you look back further into 2019 and even before that, we generally had about call it $0.015 to $0.02 per quarter in these types of fees. So call it $0.06 to $0.08 per year is generally what we have had per distributable earnings per share impact in terms of accelerating deferred fees or other type of payments that we get in connection with repayments.
Doug Harter: And do you think we're moving back again understanding that there will be quarterly volatility, do you think we're moving back to that type of environment where kind of over time, you could expect to that type of acceleration of income?
Tae-Sik Yoon: I mean, that's certainly the direction it's headed, right. Obviously, we had a bit of a pause in 2020. We saw the change occurring in 2021, particularly the second half of 2021. So, yes, I think our expectation is that 2022 will return to a little bit more of a normal pattern, if you want to call that repayments. Having said that, I think it's important to point out that, our loans are very much sort of one-off situations, right, each loan, and the sponsors behind each of the properties are completing their projects or completing their value add plans. And what we're finding is that the repayment of loans are very much tied to the success and timing of those plan. So it's hard to do this statistically. And it is really sort of a loan-by-loan analysis, as we mentioned before. But I would say its fair overall to think that so far, I think what we're seeing is that the trend is getting back to more of a normalized repayment pattern, versus what we've had for the past 18 months.
Doug Harter: Great. Thank you, Tae-Sik.
Tae-Sik Yoon: I'm sorry. Thank you, Doug.
Operator: Our next question will come from Rick Shane with J.P. Morgan. Please go ahead.
Rick Shane: Hey, everybody. Thanks for taking my questions this morning and appreciate the transparency on the rate sensitivity. If we could take a look at Slide 8 I just want to ask a couple clarifying questions. When you show the bottom axis, the x-axis, it's a benchmark interest rates at zero plus 50 plus 100. Is the left benchmark interest rate index at zero, not zero, no change? But if benchmark rates were to go to zero, I just want to make sure I understand that?
Tae-Sik Yoon: Yes, no, that's correct. Not, not no change. But if there was literally zero rather than the 10 or so basis points that it actually was so not a significant change. But basically, if benchmark rates were to be zero, what would that impacted then, correct.
Rick Shane: Okay, so think of it as sort of a channel mark. That's helpful. And then, when we look at the swaps and the notional on the swaps, you have just over at least as of the third quarter, just over a billion of swaps and caps. The tenor on those was about one year back then. So the dynamics have changed fairly significantly since the third quarter or even since December 31st. With expectations on forward-rates going up significantly higher than we thought even a month ago. Assuming the swaps roll off, and you don't replace them at what level of rates do you become asset sensitive again, because here you show that you would be liability sensitive up a 100 basis points, but where's the crossover point? So we can think down the road when the swaps aren't in place, but rates are higher?
Tae-Sik Yoon: Sure, great question, Rick. There's a lot to cover in that question, right. And just by I think it's important to mention sort of the background of the reason we did the hedging, right. So the reason we did the hedging a little bit more than about a year ago, is that again, our goal at ACRE is to match fund assets and liabilities that is not to take a position on the direction of interest rates. We may have a bias towards whatever direction is going, but again, the goal of hedging is to match fund assets and liabilities. And as we mentioned a year ago when we put these hedges in place, while we are 98% floating rate assets, because of the floors and how deeply they were into the money on those floors, they were economically behaving like fixed rate loans, right. And so, therefore, we felt it was in keeping with our match funding principle to then fix our floating rate liabilities, almost all of which again are floating rate into fixed rate liabilities, so again match fund the economic fixed rate characteristics of the assets, right. So that was the objective and that continues to be the objective for our hedging program. And the reason we have had a decline in the notional balance of our hedges is because those notional balances were designed to match the outstanding principal balance of the assets we have within the money floors, right. So we're trying to again match fund assets and liabilities between those assets with LIBOR floors and liabilities that we then had using swaps and caps. Your question about asset sensitivity, even today, even though again, most of our loans have LIBOR floors and the average LIBOR floor is over a 100 basis points. It's a bit barbell, meaning that the loans that we've booked, a year, two years, three years ago, have LIBOR floors that are well within the money. And the loans that have more recently been booked since the onset of the pandemic, for example, those have been booked with much lower floors, much lower than 50 basis points. So even as of December 31st, 2021, year-end 2021 43% of our loans had a floor less than 50 basis points. So, once rates go above 50 basis points, or even up to that 50 basis points, you can tell we already have these amount of asset sensitivity to rising rates. And one figure that's not on page 8, that might also be helpful in answering your question is that by end of 2022, if you just look at the stated maturity of the loans, again, we're going to have about $660 million of loans that mature in 2022, that have LIBOR floors, that will also run off so that that 43% of loans will actually become more than 70% of our loans again, assuming that these loans with the state of maturity stay up in time. So 70% of our loans will have this asset sensitivity at 50 basis points. So, we actually think that we have good asset sensitivity already, and one that will grow over the course of 2022. And then, as you said, we have designed our hedging program to then further decline a notional balance, because of that expected increase in the asset sensitivity. We then will have greater liability sensitivity throughout the year as well to again match fund the increase in asset sensitivity.
Rick Shane: Okay, so good. It's incredibly helpful.
Tae-Sik Yoon: Does that answer your question?
Rick Shane: It absolutely does. It's incredibly helpful. And I'm sitting here with a modest history with ARCC and Carlo on the phone thinking about a few conversations in terms of hedging strategies along the way. It's clearly worked out very well for you so thank you guys.
Tae-Sik Yoon: Yes, absolutely. In so many ways we have had the playbook as we've called it as ARCC to work with. So it's been great to be able to do that.
Operator: Our next question will come from Steve DeLaney with JMP Securities. Please go ahead.
Steve DeLaney: Thanks. Hello, everyone, and congratulations on a strong close to the year. Just picking up on strong years. Obviously, loan portfolio growth of 33% is kind of abnormal, strong market strong activity market. And in a lot of repays, Bryan, as you look at the marketplace today on the demand side, and you also look at your portfolio and sort of the residual pre-COVID loans that you might still have on a net-net basis are you expecting net portfolio growth in 2022?
Bryan Donohoe: Yes, certainly tough to precisely predict the when and the where. But if we look back on the past year, throughout our industry, we all shared in this kind of record transaction volume for commercial real estate in the U.S., and I think we were all beneficiaries of that. I think specific to us with our current scale. I think we still have more room to run. So if we think about a loan being repaid, even just static state and think about deploying 1.1x 1.2x what we are repaid we've got ample scale personnel and capital wise to do that. So that's really the philosophy behind it. I think the ebbs and flows of when that occurs. Obviously, it's a little outside of our control, but we feel sure about the continued growth.
Steve DeLaney: Got it. Okay, thanks. That's helpful. The $317 million in repays in the fourth quarter is obviously unusually high gets almost covered equal to the first three quarters of the year and we really appreciate Tae-Sik the fee comment associated with that. I'm curious, something more -- maybe a little more subtle, your Ares warehouse facility, with all those repayments coming in, did you utilize that facility and did it contribute, having that facility in place and the ability to quickly pull down a loan, so that you'd be fully deployed, did that come into play in the fourth quarter in a meaningful way? Thanks.
Tae-Sik Yoon: I wouldn't say in a meaningful way, I mean, as we touched on a little bit of a pull forward. And so I think it indirectly continues indirectly and directly benefits us throughout the course of the year, when can be a little bit unpredictable, but it is an asset for us. Obviously, as we've discussed in prior quarters, but in this case, it wasn't a significant driver of kind of dry powder, if you will.
Steve DeLaney: Got it, okay. And I assume part of that is because your demand for new loans, and your lending activity had been so strong as well, that you had quite a pipeline sitting in front of you. One final little thing, Tae-Sik I noticed one of your CLOs for 2017 FL3, that's getting some age on it, I assume it's in runoff, is there an opportunity coming up this year to call that and just improve the return there on that capital?
Tae-Sik Yoon: Sure, Steve, FL3 has been around, like you said for a long time. And we've been a tremendous beneficiary of this, because we have now a number of times actually renewed the revolving period of FL3. So this is a huge advantage for us, as I mentioned, FL3 was done with a single investor buying all of the investment grade notes. And because of that direct private placement, utilizing the resources of our Manager, we've been able to again just keep extending the revolving period for two to three years at a time. So we actually have couple of years of life left on that revolving period. So our goal is to keep FL3 going. So we now have our one revolving FL3. We supplemented that with FL4 last year as well, which is a static CLO. So we have both in play right now. But our plan is to keep FL3 going and not run it off or not refinance it, because of the continuation of the revolving period.
Steve DeLaney: Thanks. My bad I remember, specifically when you did extend that and that it was sort of a house account for Ares that kind of helped work that out. So my apologies on that. So that's yet thank you, all the best for your 10th anniversary year in 2022.
Tae-Sik Yoon: Steve, thank you so much for remembering it. And I think partly the reason you remember that you've been with us this whole time. So thank you for -- thanks for being there the whole time as well.
Steve DeLaney: That's why my memory is strong, yes.
Operator: Our next question will come from Jade Rahmani with KBW. Please go ahead.
Jade Rahmani: Thank you very much. We've seen a big increase in originations from particularly the non-bank lenders. And I was wondering if you could provide your thoughts on what's driven that just staggering level of growth?
Bryan Donohoe: Yes, I think a couple of things, mostly macro in nature, I would say we're still -- the industry has just evolved a great deal from the GSE and Dodd-Frank and Basel over in Europe. And so I think there's just been this disintermediation of banks and to a degree insurance companies. I think over the last 24 months, one of the unique attributes we've seen is that the transactions that were occurring had more of a time of the essence nature to them, just given those folks that wanted to exit equity positions, wanted to do so with a degree of certainty. And so that meant that the equity and debt had to come together in a relatively short period of time. And companies like ours were created to fill that void. So when you combine that macro over the last 12 years with the micro of the events post COVID, I think that's where we've seen further growth in our space and it doesn't feel like it's reversing anytime soon.
Jade Rahmani: If there are elements that are unsustainable, what would you think those are, I know that the mortgage REITs have all talked about some favorite asset classes such as multifamily at the same time we've seen the GSEs meaningfully pulled back in 2021 as they had lower caps, those caps have now been increased. In addition to that CMBS has had some challenges and has lost market share. Some folks are optimistic that CMBS can increase. So do you expect that those areas of capital could grow at the expense of the non-bank sector or not necessarily?
Bryan Donohoe: I think with respect to the securitized market, I think we're growing in concert, right. I think if you look at CLO issuance over the first part of this year, and certainly the latter part of last year, you're seeing some of the demand, if you will, from CMBS, historically be replaced by a combination of CLOs plus non-bank lenders. I think if there is a risk to your initial question, I think it's maybe it is just crowding in certain asset classes like multifamily and reliance to a degree on the take-outs from the GSEs. But as we sit here today, there's nothing that would indicate outsized risk in any format.
Jade Rahmani: And in terms of tone from real estate investors deploying capital, has there been any change recently given capital markets volatility and the evolving interest rate outlook, as well as inflation, any change in tone from investors' eagerness to deploy capital?
Bryan Donohoe: I really appreciate the way you characterize that as tone because I think that is probably most appropriate where as we sit here today, and look at rates and look at volatility in the CLO or CMBS market, everybody's waiting for whole loans to change in price and to widen a little bit and to see some change in equity valuations. But from an historical context and cap rate gaps over treasuries, still feels like a pretty healthy market, and one that probably favors asset pickers a little bit more than macro players. But we're looking out for that change in tone, but have yet to see it across the board.
Jade Rahmani: And what are your thoughts around credit, I believe the loan loss provision was attributable primarily to growth in the portfolio and the regular way originations. But do you expect the continued improvement in credit trends, or you feel like that trend played out in 2021, and perhaps 2022 would be more of a normalization?
Bryan Donohoe: Look at the statistics from a demand perspective, from new business starts, rent growth, all the inflation stuff we're all sharing day-to-day, it's tough to see a change in the demand side. And there's certainly pockets of supply that are going to get a little bit more attention but nothing of any significance.
Operator: . Our next question will come from Tim Hayes with BTIG. Please go ahead.
Tim Hayes: Hey, good afternoon, guys. Nice quarter. Just on the originations, you highlighted, Bryan that they were across defensive asset classes, mostly multifamily, industrial and self-storage, where I imagine there's a good amount of capital chasing those asset classes given the tailwind to the fundamentals there. And I'm just curious the spreads on new originations, and including those so far in the first quarter, seemed to be a bit wider than the portfolio average. So I'm just curious how you have accomplished being able to achieve a little bit wider spread on non-defensive asset classes and curious how big you see those slices of the pie getting in your overall portfolio over time?
Bryan Donohoe: That's a great question and good pick up there. I think we've invested one we've been in these sectors, specifically self-storage and have some unique relationships there that that should provide a further pipeline and based on where that sector has gone from a maturity perspective, we would like to continue to add to it. Multifamily and industrial I think there are more unique circumstances as Tae-Sik mentioned in the beginning of Q&A, these are asset-to-asset not index type plays in terms of how we find them, how they yield and how they perform so unique risk attributes that we found attractive to create some relative value. But I don't know that they would necessarily fit in a clean box of multifamily loans. And you'd say they're all the same. We have relationships, we had specific insights into their performance, and we were able to secure them at the coupons that you noticed.
Tim Hayes: Well was there any, I know that you don't go into too much detail on an asset-by-asset basis. But was there more kind of a heavier lease up component or some construction risk you're taking on as to and that kind of attributes to the wider spread or anything else you could kind of point to or was it really other kind of more idiosyncratic, specific stuff?
Bryan Donohoe: I would say two main attributes. One was as you indicate where that asset sat in its lifecycle of lease up. And secondly, as I touched on a couple of minutes ago, the timeline for closing that facility, and the fact that it was a repeat sponsorship for us, allowed us to probably get some market premium.
Tim Hayes: Got it, makes sense. And do you have a rough estimate, whether it's the fourth quarter or the full-year just what percentage of originations were from repeat sponsors?
Bryan Donohoe: Well, I don't have that off the top of my head. No, no, we can get that for you. It was fairly balanced, I would say between new sponsors and repeats.
Tim Hayes: Okay, got it.
Bryan Donohoe: But let us pull that up real quick.
Tim Hayes: I'm not looking for the exact number just trying to get a feel for how much of because it's great to do new business with new folks, but at the same time, and you have good relationships, that obviously helps achieve certain risk adjusted returns, you're probably looking forward to so.
Bryan Donohoe: Yes, it's a balance.
Tim Hayes: On that, yes, okay.
Bryan Donohoe: I think if we -- I would say just Tim, if we think about it, we just got the number about 40% repeat sponsors last year, we've typically run a little bit higher than that. But it's just going to ebb and flow. But we certainly see a good bit of value by continuing to partner with the sponsors we have in-house.
Tim Hayes: Got it. Got it. Okay. Well, hopefully those new sponsors and the repeat sponsors in the upcoming year or years. But and then just last question for me, investment activity, a little light so far in the first quarter is it's just a timing thing where you have a few deals you're working on, and they haven't quite closed yet. But just curious because it sounds like there seems to be opportunities for you to lend the returns, you're looking for there yet, it's pretty light so far. So just curious if it's really just a timing thing, or if competition has weighed on your ability to find good loans, if you're being a little bit more selective on a relative basis than you were three, four months ago or anything else that we could read into?
Bryan Donohoe: No, our selectivity I think is a constant at over the 10-year history of our company. I think that selectivity is something that that we take pride in. I think that it really is just a timing thing where we had a busy end to the fourth quarter. We had some repayments that delivered some liquidity. And I think everybody from a human nature perspective caught a bit of a breath. But from as we sit here looking at the pipeline, there's no change from our confidence interval in prior quarters.
Tim Hayes: Got it. Got it. Well, thanks for the comments this afternoon. Appreciate it.
Bryan Donohoe: Thank you.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. I'd like to turn the conference back over to Bryan Donohoe for any closing remarks.
Bryan Donohoe: Thanks so much. And I just want to thank everybody for their time today. We certainly appreciate the continued support of ACRE. And we look forward to speaking to you again on our next call. Thank you.
Operator: Ladies and gentlemen, this concludes our conference call for today. If you missed any part of today's call an archived replay of this conference call will be available approximately one hour after the end of this call through March 1, 2022, to domestic callers by dialing 1(877) 344-7529 and to international callers by dialing 1 (412) 317-0088. For all replays please reference conference number 3956123. An archived replay will also be available on the webcast link located on the homepage of the Investor Relations resources section of our website. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.